Ariel Bauer: So good morning, everyone, and welcome to the SGS financial results and strategic update. It's a pleasure to connect with all of you today. My name is Ariel Bauer, I'm the Group Vice President of Investor Relations, Communications and Sustainability. This event will be presented by our CEO, Frankie Ng; and by our CEO Designate, Geraldine Picaud, who will cover the strategy 2027. We also welcome the presence of our Chairman, Calvin Grieder. A few housekeeping rules before we start. First, kindly put your mobile devices to silent as this event is webcast. We will open the floor to your questions at the end of the presentation. And as usual, we will take two questions per participant. And we aim to finish by 12 noon. With this, I'm very happy to welcome Calvin Grieder, Geraldine Picaud, and Frankie Ng to the stage.
Calvin Grieder: Thank you, Ariel. Well, I would like to welcome you all here, and we will present to you our results of the last year and the strategic update. So thank you very much for your attendance. It will be a new chapter for SGS and it's exciting chapter. And at this moment, we will look forward to the future of the company, but also talk about our achievements up to this date. As you heard this morning, today, also Frankie will step down as CEO from the date of our AGM in March. And Frankie informed me of his desire to step down some time ago, at which point, we started to -- we started the planning process for the succession. With this rigorous process, we considered both internal and external candidates and Geraldine emerged as the best candidate. As of today, Geraldine will assume the role of CEO Designate alongside her existing responsibilities as CFO and strategic transformation. We will make a separate announcement concerning the CFO in due course. The Board of Directors is proud to point Geraldine as the new CEO and with her experience and track record, she is perfectly placed to lead SGS into the future. We now start the transition period, which Frankie will contribute his intimate knowledge of SGS built over impressive 30 years, a 30-years journey with the company. This is why Frankie and Geraldine stand up here together and will run you through the results, 2023 and the plan for the future. So enjoy today. And with that, I will hand over to Geraldine, which will give a few introductionary words. Thank you very much.
Geraldine Picaud: Thank you, Calvin, and good morning, everyone. I would like to start by saying that I feel extremely honored to be named as the next CEO of SGS. SGS is a fantastic company with both a wonderful heritage, 145 years of history and also huge potential for future growth. We have an unrivaled network of laboratory. We are present everywhere in all geographies, and we are covering almost all industries. So we are the true partner for our clients. But above all, SGS is its people. It is their commitment, their expertise, their passion, their personal values. This constitutes an invaluable asset and it positions us exactly well to capture all the exciting growth opportunities of the testing, inspection and certification industry and I will detail this in a few moments in the strategy 2027. In the meantime, I look forward to continuing to work with Frankie and closely with him for the next 2 months in order to ensure the smoothest possible transition. On this note, I hand over to you, Frankie.
Frankie Ng: Thank you, Geraldine. Thank you, Mr. Chairman, Calvin. An exciting journey for 30 years in the company and 9 years as the CEO. So Geraldine mentioned about some things about people. We are a people business. I just wanted to take this a couple of minutes to thank all my 99,000 colleagues in the network. I think without them, we'll not be as we are, a company of expertise, a large network, a lot of passion and the dedications to the quality, the safety and the supply chain management of our customers. So over the next 2 months, I will be working with Geraldine. I think we are in safe hand with expertise or leadership with the Board with Calvin, leading the Board and us reporting the team on Geraldine. I think as a company, we'll be moving to the next chapter of our growth. And we are sure that the team and the rest of the network will support these new transitions. And on that thank you, Geraldine. Thank you, Calvin, for your kind words. [Audio/Video Presentation]
Frankie Ng: So thank you very much. So I will start with an overview of the business highlights for 2023. Geraldine will do a presentation of the financial details and also an update of the new strategy '27. Next slide, please. So I'm pleased to report strong organic growth of 8.1% for 2023. All our business lines and all the regions contributed to this performance which represent a powerful platform to build upon. Adjusted income was at CHF 971 million, growing at 6.2% at constant currency. Geraldine will give a little more details during her presentation of the results as well. Next slide, please. 2023, we concluded our '21, '23 strategic cycle, and I'm proud to say that we have achieved most of our key objectives. We consolidated our industry leadership by achieving #1 positions in Natural Resources, Connectivity & Products and business assurance. For those of you who have been following us, Business Assurance is the new names that we're giving to Knowledge, which will reflect better the kind of portfolio services they're offering. So we'll probably see that from now on being business assurance in knowledge. So moving to the next cycle of development, we're well positioned to strengthen our position in our chosen sectors. We also continued our journey in becoming the most digital company in the tech industry. With the digital in over 350 laboratories are carried out across 2023, we actually exceeded our goal of 30% of revenue moving into new laboratory management systems. This accomplishment has been active participation of all the regions in over 60 countries. Of course, the digital journey will continue for us, and we'll continue to strengthen our processes in the coming years and to commit to our continuous innovations and collaborations. Next slide, please. So I mentioned that the growth was driven by all business lines. So let me give a little bit of highlight. Industrial environment saw accelerating growth for sustainability in [indiscernible] to waste management, renewable and greenhouse gas emissions. In fact sustainability services will become the increasing permanent within our portfolio. We also have leading expertise in emerging pollutants such as PFAS that you probably know as the forever chemicals. Now the resources successfully reinforced its leadership in minerals and so accelerating growth for technical consultancy, energy transitions and net zero supply chain services. Connectivity and Product hand positioned in the growing subsidiary market was further strengthened by our unit value proposition with our Brightsight unit in Netherlands, which is specialized in security valuation and microchip testing. Within Health and Nutrition, strong momentum in the food sector, leading to market share gain, thanks to recent expansions in the network, particularly in Latin America. Last but not least, record performances in business assurance was driven by ESG assurance, [indiscernible] certifications, customized audit as well as consulting in -- which is becoming an important new growth driver for our portfolio. Next slide, please. So let me give a little more details per business line. The strong 1.5% organic growth in the industry and government was driven by field services and inspection, safety, supply chain management and government mandates. High single-digit organic growth in environmental testing was driven by significant increase of sample volume in Europe and North America. Margin improvement of close to 100 bps was supported by volume and pricing increase, new contract and good performances from acquisitions that are transitioning into our organic portfolio. In addition, cost optimizations and correction improvement also contributed to these performances. We expect the continued development of safety services and increasing competitive trade flow and supported trend to drive growth further. Next slide, please. Natural Resources delivered close to 10% organic growth, a market-leading performance. High single-digit organic growth in trade and inspections was driven by increased capacity at key locations solid demand for underlying commodities and increased global trade flow. [indiscernible] testing organic growth was strong, driven by critical minerals and sustainability services including biofuels. Margin improvement was driven by improved efficiencies, the adoption of new automated solutions and strategic pricing across all operations. We expect demand for critical minerals and sustainability services to continue to be powerful drivers for the future. Next slide, please. Connectivity and product growth -- organic growth was close to 5%. Connectivity grew high single digit, particularly driven by double-digit growth at Brightsight, our leading cybersecurity unit in the Netherlands. We did a mid-single-digit growth in Softlines was driven by market share gain in Northeast Asia and Eastern Europe, Middle East, as well as the successful rollout of our new sustainability solutions. We expect sustainability to drive more opportunities in textile, hard good and E&E product, as perfect awareness put increasing pressure on organizations to reduce the environmental and social impact on their products. Margin decline was mainly due to soft activities in the wireless testing, a positive one-off in the prior year. Next slide, please. Health and nutrition sustained organic growth despite the challenging environment. High single-digit -- high single-digit organic growth, sorry, in food testing was driven by regulations, network expansions, including a new lab in Brazil and pricing. Health engines enjoyed positive underlying growth for biometric services and the clinical research, which was largely offset by the end of our COVID testing program. Overall, market fundamentals and global demand for the TIC core services remain strong across the food and the well-being verticals. Next slide. Business assurance delivered record performance in 2023, which doubled -- with double-digit growth in all businesses and regions. This was driven by ESG assurance, management system certifications and customized audit. Consulting activity grew very strongly, benefiting from significant demand in the supply chain in North America, increased demand from the division sectors and our expansion of capabilities in Europe and Asia. The market is expected to remain strong in 2024, driven by high demand in medical device, information security, ESG assurance and customized audits. Next slide, please. Our portfolio management activities in 2023 was focused on driving additional returns. We made 2 acquisitions, Nutrasource in Canada and seafood testing in Spain. We acquired the remaining minority stake of Leansis and Maine Pointe, the 2 consulting companies that we have in the U.S. and in Europe. In the same period, we closed 2 disposal, including powertrain testing operation in the U.S. We also announced the divestment of our crop science operations. The transaction will be effective in the course of 2024 and does not impact the 2023 consolidated financial results. It's clear that while the pace of our M&A has slowed down in '23. This remains an important priority in our capital allocation approach, and we expect more activities in '24. Geraldine will give a little bit of the color during her part of the presentation. Next slide. So for me to conclude, topic is very key and important to me and to the company is sustainability. Sustainability is one of our 6 business pillars and is truly embedded in our culture and the way we do business from the board of director to affiliate, our strong governance structures ensure that this is heart of all our activities. We are proud to celebrate the decade of sustainability leadership at the top of the Dow Jones Sustainability Index, and last true leadership also means having a consistent top position in the majority of the older ESG indexes. Some of them they can see on the slide here. But I think leadership in sustainabilities are above all about impact to society. So thanks to our value and the commitment of all our colleagues around the world, we achieved our sustainability goal for 2023. Being a [indiscernible] company, fostering diversity, keeping our people safe, adjust a few of those key examples of how we add value to society. So then in conclusion, I'm proud to, again, to dedicate the dedication and the hard work and [indiscernible] of our colleagues across the network, and I'm confident that we are building a driving future for SGS. Thank you. And on that, I'm passing over to Geraldine for the financial part and the strategic update.
Geraldine Picaud: Thank you, Frankie. I'm very pleased to comment the full year results 2023. So our net sales increased above 8% organically, as you can see, to reach CHF 6,622 million. Our margin amounted to CHF 971 million, a bit lower than in 2022 in terms of value, also in terms of percentage of revenue, mainly due to ForEx. If the translation rates had been the same as this year in 2022, the margin rate would have been almost stable. Earnings per share were impacted by the same ForEx effect and stood at CHF 3 per share. We now report free cash flow after interest and leases, and this year, it exceeded CHF 600 million, which is a strong increase versus last year. This slide here indicates how the 2023 sales compared to last year. 2023 sales amounted to CHF 6,622 million, very close to 2022 level. This is the result of a strong organic growth of 8.1%, actually totally offset by the ForEx translation effect, this is mainly due to the Chinese renminbi, the euro and the U.S. dollar. This slide here provide the breakdown of the 8.1% organic growth by business lines. So as Frankie already commented, I'm going to go fast a little bit. Here you can see connectivity and products has registered a solid organic growth of 4.7% coming from the positive momentum in connectivity and especially on regulatory testing on cybersecurity. Health & Nutrition food here did very well, actually. Food testing demand benefited from a good growth, good growth momentum supported by safety requirements, identification of the impact of newly identified contaminants in food. Health science on the opposite has experimented some headwinds on a postpandemic world. Industries and environment. Now if we look at that, you can see that we have experienced a very strong organic growth across the entire portfolio, actually driven by demand that is increasing for safety, environment and energy. Strong organic growth of our natural resources business lines, primarily driven by continued demand for commodities and strategic commercial initiatives. Business assurance, previously known as Knowledge, now business assurance has delivered its best year benefiting from a strong demand in some strategic segments such as medical devices, IT, security and sustainability. Looking at the sales per region now. All regions have contributed to growth with Asia and North America, reaching a very high single-digit organic growth. On smaller markets, Latin America and Middle East Africa, we also grew double digit, as you can see. Let's move to the adjusted operating income. It amounted to CHF 971 million. And the major impact, as we already mentioned, is coming from the ForEx. The impact on the AOI margin on sales amounted to 0.5 percentage point. In addition, the turnaround for Health Science, which was planned for H2, did not materialize. Let's now look at the full P&L. The net income attributable to group shareholders has declined by CHF 35 million, and this is in line with the decline of the adjusted operating income. Between AOI or adjusted operating income and the operating income, the amount of adjusted items have actually declined from CHF 125 million in 2022 to CHF 114 million in 2023. In 2023, if you look at the table, we have recorded CHF 91 million of noncash, noncash amortization and impairment. Financial expenses as well as the effective tax rate are broadly stable and as a result, the earnings per share stood at CHF 3 per share. Let's turn to the free cash flow. And we're pretty happy to have exceeded CHF 600 million of free cash flow this year. And I remind you here that we now calculate the free cash flow with the interest paid inside. So the improvement that you see is largely due to better management of the net working capital, which was very high last year, and this will remain a point of focus in the future. I will end with our return on invested capital, which is strong. It's industry-leading ROIC at 22%. We will now move to the strategy 2027. So after the review of the accounts, please let me now share with you some views on the company and on the industry. From there, I will give you an overview of our road map for the next 4 years. At this stage, I will mainly provide key principles. We are working on numbers for now, and we will be able to share more numbers at our Capital Market Day in November. Let's start with the market. We operate in a healthy, growing industry driven by 4 mega trends. Firstly, there is a strong demand for sustainability. As you know, our clients must comply with several new regulations. But beyond the law, they also pushed to adopt even more sustainable practices by their own customers and stakeholders. The second megatrend is the continuous growth of digital technology, which creates a strong demand for the TIC industry in data integrity and in digital trust. Thirdly, people always demand more manufactured products and this is true for emerging market where the middle class is strongly growing. But also for mature geographies, we see the development of local production with the nearshoring. So finally, companies are more and more subject to various regulations, which are typically set by local authorities. Our market benefits from the megatrends we just went through. It is commonly assessed that the TIC market rose about 2 percentage points above GDP. So over the next 4 years, we see the market growing overall from 4% to 5% to reach the size of $190 billion in 2027. This is our addressable market. This 4% to 5% annual growth rate is a combination of regional and verticals or end markets which we will detail now. Here's our market split by geographies and with the main growth drivers by geography. You can see here that Asia Pacific accounts for 1/3 of the total TIC market. In this region, growth has been historically driven by consumer products. The consumer products will remain a strong engine in the coming years supported by demographic trends, especially urbanization and the development of upper middle classes. Asia Pacific contains other significant end markets such as environmental and we expect the region to be a major contributor to also digital services. Europe is the second largest market of the industry. It was -- it was, it is, and it still is the most regulated with authorities requiring quick adoption of fairly complex rules. About North America, we believe that the reindustrialization of the U.S. has just started. This trend benefits from state and federal incentives. Latin America and Middle East Africa remains smaller markets with growth opportunities in minerals, for instance, and environmental. So now that we have another view of the market and the market drivers, let's move to how SGS is positioned to capture these huge opportunities. As you know, we are the global market leader, well established with all positions in all geographies. We have a strong network, especially in Asia, which positions us ideally to respond to the domestic market demand. And more generally, our implementation allows us to follow any change in any supply chain of our clients. So we have also the largest number of accreditations to support compliance requirements. In particular, we have and we developed the adequate offer to address the sustainability needs of our clients. We are also the leaders in the solution which guarantee data integrity, which is, of course, a key point for tomorrow and we will detail this in a few minutes. As I said, we believe we have great strength, and we operate in a market with fantastic opportunities. We have, therefore, defined 3 levels on which we will build our near future. Firstly, we will capture the growth coming from the market megatrends, sustainability, digital supply chain. All of this on the back of a heavily regulated environment. These are definitely the fast-growing areas where we have everything to succeed. Secondly, we are fundamentally a people business. We work through a unique network of highly qualified professionals. So it is key that the group put its people in the best mindset and in the right organization to allow them to succeed. We will promote performance and accountability across the group. This will go with some reorganization of the executive committee and of the corporate and support functions, and we will review this shortly. Last but not least, we will define a strong financial profile with clear targets and a disciplined cash allocation. So let's start with our growth opportunities. As I said, we will offer a large range of services associated with sustainability, one of the megatrend. And our growth focus here is organized around 4 major pillars to address sustainability demand. Carbon, where we address the compliance needs of our customers for regulation and national policies. For instance, we do GAAP assessments in the context of the net zero pledge of our clients. We assist them on the carbon border adjustment mechanism, measure and validate their GHG emission reporting. Biodiversity. We are actually revolutionizing biodiversity services with environmental DNA surveys, and we have also a state-of-the-art global bioscience centers in Europe. With regards to plastic, we offer a proprietary microplastic testing solutions that leads chemical recycling and plastic services. On ESG Assurance, we are a leading provider of social audits with largest numbers certified auditors globally. We carry out a large range of ESG certification, assessment and training services in Europe and globally. We currently have the only prior proprietary ESG specific certification scheme and also provide advisory training services on the new CSRD legislation in Europe. We are also seeing a rapid digital growth with swift technological advancements and widespread adoption of new technologies across all industries. While technology like artificial intelligence, for instance, offer incredible opportunities, also bring risk with it. And our focus is on building trust in these technology through rigorous digital trust and data integrity services. We do cybersecurity evaluation for the full range of IT products such as payment terminals, hardware, systems on chips, automotive solutions and so on. We perform security evaluations to support compliance and risk management across all sectors. Let's move to supply chain. We have a presence almost everywhere in the world, as I said. This gives us the capacity to adapt to our clients and to serve them with the same quality wherever they need. In Asia, as you know, we have a leading position. In addition to the industry of consumer products, there is a strong increase, as I said, of the local demand supported by the development of the middle class there. This represents a significant growth opportunity for us. North America presents also a great source of growth, mainly coming from the local industry in the U.S. This is a region where we have a strong ambition, as you can see. We won the regions to represent a much more significant share of the group sales by 2027. This will, of course, require investment, and I will come back to this later. After the growth opportunities, I want to focus on the people. When I joined 2 months ago, I have been impressed by the high level of skills and expertise of the professionals who work in our labs and in our certification. This is by far our most valuable asset for the company and we placed talent development and retention at the heart of our strategy. In the meantime, we will work on accountability. Each manager has to lead their P&L. We will promote a performance and cash culture across the group. So we have also decided to simplify the organization, and we will start with the operation council. Then we have here organized the business. But let's start with certification. It was formerly called Knowledge. This business is mainly global. And it will be represented by one ExCo members. The rest of the business that we regroup under the words, testing and inspection is managed by the network and at local level. The majority of the contracts is negotiated locally. And of course, the regulatory environment also depends on the location. Therefore, we have and we will have a regional approach here. So that there will be one ExCo member by region for testing and inspection. Each of them fully accountable for his own regional P&L. We plan to have 5 regions and to keep 2 ExCo members in support position for the global contracts, the business development and the technical expertise. The purpose of this reorganization is to gain efficiency in the decision-making process and to have one and only one ExCo member responsible for each part of the group P&L. Of course, we will continue to use the technical expertise of our business line specialist. And the detailed organization chart will be announced end of March. In the same spirit of focusing on the network, we will eliminate some functions, which currently participate to the duplication of responsibilities between business lines and regions. We are talking about support functions here, not about expert positions, of course. So together with the continuous effort of process optimization, we expect to realize CHF 100 million of cost savings at current scope. The restructuring will be achieved before the end of 2025. This slide here summarizes where the strategic priorities lead us. In terms of growth, we believe we will over perform the market, thanks to the trends that went through. We're targeting to deliver an organic growth of 5% to 7% which we expect to combine with M&A growth. We won't take any quantified commitment on this, obviously, because the priority is to execute right targets at the right time and for the right price. On the margin, we believe it's not at the right level yet, and we are ready to target at least an additional 1.5 percentage points in 2027. However, the review of the operations is ongoing, and we will be able to provide further information in November at our Capital Market Day. Finally, the cash generation which we measure as free cash flow after lease divided by EBITDA after lease will exceed 50%. To complete the overview of the targets we want to achieve, let me emphasize some principles here. So let's be clear. Our growth ambition especially on the portfolio, we will need will require some financing. However, the key priority will be to maintain a strong credit rating to ensure that the group keeps all necessary latitude in the future. We can also count on solid cash flows in the coming years. But to start our investment program, we want to have all possible flexibility. Therefore, we will propose a scrip dividend, optional shares of cash at our next AGM with detailed modalities to be communicated at that time. We also have ambitions on our 2027 corporate ESG targets. We really reflect what SGS is about. So firstly, on the environment, we are an environmental leader because we are fundamentally a nonpolluting business starting from the fact that we are already successfully addressing our Scope 1 and Scope 2 emission, the natural movement that we need to target is Scope 3. So we want to achieve a material improvement on our Scope 3 emissions. Secondly, if you look at the S of ESG on the social, we are, as I said several times, a people business. And as such, we contribute to the satisfaction and well-being and trust of all our stakeholders. On diversity, equity and inclusion, our goal is to foster diverse representation in our workforce and leadership with a dedicated aim of achieving 1/3 leadership position held by women. On education, our strong know-how is the most valuable asset of SGS, and we are proud to share it with our employees. Our customer and the wider community, we want -- we have chosen here to adopt million hours of training. So to make this really more visible, we have set ourselves the official target to reach the 7 million of total training hours per year by 2027. Finally, on governance, we believe in doing things right, not just for us but also for our clients. So we have set a high goal of customer satisfaction, aiming for a score of 93% customer satisfaction. This target benefits in terms of positive employee engagement and responsible business practices. So all these goals are not just about numbers. They represent our commitment to creating a sustainable, inclusive and responsible future. Our vision is to create not just for our shareholders, but also for our employees, our customers and the broader society. Let's move to the outlook for 2024. So on the shorter term, some colors here for the year. We expect organic growth to be above 5%, consistently with the 2027 targets. The work on the portfolio will be started, which doesn't mean that we will go for a big strategic move already this year, really want rather to relaunch the bolt-on programs. And in terms of margin, we will fix the one-off issues we have incurred in '23, and we will add a few basis points to the margin rate. The savings plan will be implemented, but there will be likely no material impact in 2024. We built -- we will build the basis, of course, of a strong cash flow generation, as I said, performance and cash culture. With this, I thank you for the attention.
Operator: Now opening the Q&A session. [Operator Instructions].
Harry Martin: It's Harry Martin from Bernstein. I wondered if you could spend some time on your strategy in China. So within the 5% to 7% organic growth, would you expect China to grow faster than that? And then could you reflect a little bit on the positioning that you have in the domestic market, in the export market and the competitive advantages that you have versus the other global players and versus the local competition as well? So that's the first strategic question. And then just a question for you, Geraldine, in your position as CFO before you quickly move up. On the dividend, I wondered if you had considered cutting the dividend today? And if you had, what were the kind of rationales for it against? And how did you come to the decision that you did?
Frankie Ng: Geraldine, I'll go through the first question for China. I think I mentioned in the past that if you look at our Chinese activities now. 60% of revenue in China is linked to the already domestic market, more or less 60%, 40%. A lot of disturbance on the international supply chain market. For sure, we talk a lot about migration of the Chinese supply chains towards the other countries. I also want to mention in the past that SGS Group has a clear footprint to ensure that we capture this migration of the value to other countries like Vietnam, Turkey and so on. In China itself, our strategy will focus on the local market, including consumer goods because there are regulatory framework, this specific to China, for example, the CCC mark for the electrical product or the GB standard for general consumer goods and other products. So we have one of the largest amount of accreditation from all the international players. There are some local Chinese companies that has more accreditations than us. They specialize because they're coming from the -- some of the ex-government institute. But in term of international company, we have the largest amount of accreditations there. We're also focusing on the environmental market, the construction sectors, the industrial sectors. So there are a lot of different aspect, calibration, for example, these are aspects we're also focusing on. What is interesting for us in terms of the Chinese market is that it is the market is keep opening up. So the recent opening up of the [indiscernible] is that the Chinese customer now recognize international company's certification or inspection certificate, what is done and accredited. So this is also an evolution of the market for us. So in terms of growth for 2027, I would say you look at the current economic situation, I would say, little bit lower than the 5% to 7%. But as the market evolves, as we evolve our positions there, this may actually start to strengthen again. You look at what we've done in 2023, the growth in China was not bad at all, but we're just adapting to the new market conditions. But it's still a strong market for us, and there's a lot of opportunities. I'm sorry?
Harry Martin: What was the China growth?
Frankie Ng: I don't think Geraldine will give it to you, but you can ask during another time. It was a good growth.
Geraldine Picaud: It was a good growth, I confirm. High growth. On your question, no, we never envisaged to get the dividend because shareholder remuneration is our priority. Now we expect our shareholders to support our strategy, 2027, by adopting the shares.
Suhasini Varanasi: Suhasini from Goldman Sachs. A couple of questions, please. On the CHF 100 million of restructuring, what are the costs associated with it? And will you be taking it below the line? And how I think we already got the answer on phasing. The second one, on the margin expansion, which I understand it's going to be on a reported basis going forward. Are you implementing any changes on the pricing strategies that can limit FX drag on margins, which unfortunately, I think companies have suffered from in the last 4, 5, 7 years. Or are you planning for the disposals of portfolio management to get you there?
Geraldine Picaud: Well, maybe I'll start with the restructuring. So the cost of restructuring have not been completely finalized and calculated at this stage. I think it's fair to say that, obviously, the payback will be between 12 to 18 months, to give you an idea. And I think what else you had -- you had a question on pricing after, right? And that -- it will be below the line, yes, of course, as well. On the pricing, maybe Frankie...
Frankie Ng: No, the pricing. I mean, we will continue our pricing strategy across the network. Obviously, different jurisdictions, different regions has different pricing structure depending on the inflations as well as the fact that each one of the verticals on each of the geography has slightly different market conditions for that. So we'll continue to optimize the pricing structure and strategy across that. You probably see more pricing drive in Europe, LatAm, Middle East, less in China, Asia, Asia Pacific because of the inflation structures there. But on the long term, it is clear, as mentioned in Geraldine's strategy highlight, rebalancing our portfolio also is a key aspect for us. And she highlighted on the North American evolutions, and the opportunities there. You look at our footprint. We're certainly more dominant on Asia Pacific in general, in terms of growth and in terms of positioning. There's certainly also a structural evolution of our portfolio to ensure that we have a strong position in some of the other geographies such as North America, where proportionaries were little bit less represented than some of our peers or the market opportunities. And this will also help us to balance these issues of the ForEx in the longer term.
Geraldine Picaud: But maybe to complete, pricing is key for us. We want pricing to offset inflation.
Simon LeChipre: Simon LeChipre from Stifel. First of all, on the 2024 outlook, could you give us some color on the cadence of the margin improvement? Do you expect margin to improve in H1 and in H2? And secondly, on the C&P division. I mean do you expect the margin to return to the previous level of around 25%. And I mean, what does it take to get there?
Frankie Ng: So I'll answer a part of the question first. So there are a couple of businesses that were more looking at the second half of the year to improve because of the current market conditions. For example, if you look at the life sciences sectors because of the current market structure, we're not expecting a positive momentum on the second half of this year. On the C&P, we are, to a certain extent, under pressure on some of the traditional products, but there are also a lot of newer opportunities linked to sustainability as well as your chemical testing. You look at, for example, the PFAS [indiscernible] for consumer equipment as well. So I would say without saying that we'll be back to the 25%, as you mentioned earlier, I think the progression of the margin will be there because we'll have better growth drivers for the wireless connectivity product sectors that we've seen a slowdown in 2023. This will also come back in the second half this year.
Geraldine Picaud: So maybe on the margin improvement, we've said that there will be a margin improvement. That means higher than the 2023 baseline on a reported basis. And that's what, at this stage, we want to communicate, now we're going to communicate more often. We are going to have quarterly sales update. So that will give us opportunity to precise as we go during the year, the guidance.
Arthur Truslove: Arthur Truslove from Citi. So just a couple from me, please. So firstly, on the CHF 100 million of cost savings, obviously, about 150 bps of 2023 revenues. Have you precisely identified what those are going to be? And within that, what confidence can you have that it won't disrupt your expert professionals in delivering growth. Second question, I was just wondering if you could talk a little bit more about lab utilization and I guess specifically, are there a significant amount of your labs that are not utilized fully around the world. And ultimately, how significantly has that impacted your margins? And if you could talk to specific verticals there. I mean, I guess, C&P and Health & Nutrition would both be part of that. But I just wondered if you could talk around that a little bit.
Frankie Ng: Maybe you want to go to the first one?
Geraldine Picaud: Maybe I can go to the first one. Yes, obviously, we don't want to -- as I said, we want to target the duplicate function on the administrative part. We don't to at all the experts and what's needed to grow and to support our growth. And we've identified already the bucket or where we want to do these savings, yes, even though we are still in process of refining it completely, but we have identified where. So we're fairly confident in achieving the 1.5 bps that you mentioned absolutely.
Frankie Ng: I got your first question -- first or second question about utilization rate. For sure, if you look at the performance of our life sciences activities, the volume was down in our laboratory facilities. So there excess capacities there and we expect that to be utilized once the market picks up again, there's a lot of delay of projects as well as cancellation of project, but we see the market, as I said, more in the second half of this year to come back. So on this one, wireless connectivity has a drop of volumes in laboratories, clearly because of the fact that the consumer sectors as well as some of the technological product has soft year this year, last year. So end of last year and we're seeing that starting to ramp up as well. So the utilization rate will come back up to the former level. The China operations, which is always offering questions, it's been rediverted to the local domestic market. So some of the migration of the supply chains to other countries is filled up by the domestic market growth that we see. And you see that in China, we have a strong domestic market growth than the international and the rest of our network continues to capitalize on some of the expansion we're doing so in [indiscernible] rate is pretty strong.
Annelies Vermeulen: Annelies Vermeulen from Morgan Stanley. So my first question was on business assurance previously known as Knowledge. You've called out ESG regulation is a big part of that. I'm just wondering how much benefit you're already seeing from regulations such as CSRD coming through in Europe. You mentioned consulting revenues. I expect or do you expect those to accelerate this year? And can -- will we see more of a shift also towards verification revenues there as companies seek to comply with CSRD if you could talk about the developments of that? And then secondly, just on North America, if you think about -- you maybe -- you want to expand your footprint there, which segments and which business lines do you specifically want to gain exposure to in the U.S.? And what are the main drivers of that? You've obviously talked extensively about nearshoring and some of the government spend going into the U.S. But what else are you -- do you think that there's more regulation to come in the U.S. to follow Europe's example? Or -- and where are the areas that you're targeting there?
Geraldine Picaud: Maybe I'm going to take the first one on the certification. So the certification business is doing fantastically well. And yes, we are seeing more and more demand for what you mentioned. So CSRD is one of them, but also is a [C-band] where we are developing offers. I want to insist, we have a strong double-digit growth on all of this. So the management certification, which is the classic part, the ISO, but also on customer customized audits, and as well on consulting and pure advisory. It is really a strong double-digit growth. So we want to continue to have the offering and capture that growth. In our North America, I will let Frankie complete, but basically, we see strong drivers in construction, in renewables and in food as well. So there's a lot of verticals or end markets where we can capture growth here, as I said.
Frankie Ng: Yes, absolutely. In fact, if you look at the U.S. market, I would say environmental sector is strong sectors. In fact, one of the strictest regulations in terms of PFAS, which is a key pollutant is the U.S. So a lot of the government department is pushing very hard for that. And the liabilities is there. So this drive for the U.S. market to push on that. So this is just one aspect of the evolution of the governmental side, which you can see more regulations, more enforcement and less. Likewise, infrastructure is an important sector for the U.S., especially that we talk about some of those manufacturing moving back to the domestic market and that there will be construction and the need for that. This is something we're also looking at. Connectivity and products, surprisingly, we're not talking about textile product, we're not talking about hard goods. But in the U.S. market, there's a lot of demand for more high-end automotive, aerospace, electronics, in general, microchips, so on. So they are market for the high-end testing of E&E product, wireless connectivity and so on, cyber security included. So these are area, food, Geraldine mentioned already. So there are quite a lot of areas which will come back certainly in November with more detail road map, I would say.
Rory Mckenzie: It's Rory McKenzie from UBS. And Frankie, firstly, congratulations on your career at SGS. I know you're very highly respected in the industry. So thank you for putting up with specifically my questions over the years, which often are below your level perhaps. But then turning to these results, H2 margins were down 80 bps year-over-year, even excluding FX. Can you just clarify if there were any specific drags within that? Any notable movement in bad debts, your [HD] provisioning, anything else that could be a bit volatile that we should be aware of as we look ahead? And then secondly, you outlined the megatrends and the positive drivers, which I think are apparent. But often what's going against SGS in its broad portfolio are what drive the disappointments in the performance overall. We've seen several portfolio reviews in the past, I think it's fair to say. But maybe, Frankie, could you look back on some of those reviews and reflect on what either didn't work about identifying the challenges or whether you wish you'd been bolder with some changes? And then Geraldine, can you say more about how you're undertaking this portfolio review this year? How you think that's different to what SGS has done in the past? And for example, the disposal of crop science, for example, should we be expecting more of those portfolio pieces to move out of the group as well?
Frankie Ng: You want to start or you want me to start?
Geraldine Picaud: I can start maybe with the margin question and then on the past portfolio, please Frankie, yes, help me. But on the -- maybe on the margins, so the biggest impact being the ForEx we commented, that's clear, 0.5 percentage points. I think it's fair to say that we mentioned that it was no recovery on health science at all. Frankie mentioned also a soft market on wireless. That's part of the C&P, the connectivity and product business line and mainly that's from Asia. So the wireless was not also there quite soft. And yes, that's basically the main drivers of this margin decline.
Frankie Ng: Yes. Talk about 9 years ago when the first session when I spoke to the market, someone asked me whether -- why don't I sell my mineral business. 9 years down the road, someone is going to tell me lucky we didn't sell the mineral business for sure. But what I'm trying to say is the markets evolves, and there are strategic decisions were taken at each one of the [indiscernible] of the market, and we tried always to keep a balanced portfolio. They are long-term drivers that we believe is not anymore that we decide to get off the market. For example, for some of the powertrain businesses that started in the U.S. that we disposed last year that we don't think fit into this long-term vision. I would say if you look at the driving force, it's less about the portfolio management, for me it's more about the efficiency of the network. These -- the key drivers for margins in the longer term. So because market changes will always happen, and we need to adapt to have this agility to adapt ourselves to the next growth potentials. But how we work closely to ensure this is a migration of the network to optimize the use of the asset to be able to redirect ourself to our next portfolio. This is more the key challenges of the future of the SGS. We've done a lot of background work over the past few years that need to be completed. We talk about the 30% of the [indiscernible] moving to the new judicial system. This is not just to have a new system. The background of this system allows us to use the data into different ways that allow us to move into new generational services. So this is more the part of the challenges to see in the next couple of years rather than the migration of portfolio because market conditions, the geopolitical situation, the volatility of the market these days mix that we have, the [indiscernible] we continue to trim this portfolio moving into the future.
Geraldine Picaud: Yes. And I think, look, we are in a fragmented market, right, fragmented and growing market. So we have, as a leader, role to play in the consolidation. So we will, as put in the comments, we will relaunch our M&A program. I'm more seeing bolt-ons to be back on because these are good deals. They are synergistic. We do -- they are accretive to our margins. And this will also play a significant role. But we will review the full portfolio of business lines and so on, and you will be fully informed at the Capital Market Day in November.
James Rose: It's James Rose from Barclays. Firstly, on M&A, you've talked about relaunching that process, what type of businesses would you like to buy, not just next year, but on a medium-term view? And also to come back on margins again, I mean, SGS has laid out bold margin aspirations, numerous times now. And there's always something which comes along to detract from that process. Why do you think the new margin targets now are more credible than the ones in the past? What has changed within the organization to deliver them?
Geraldine Picaud: Okay. So for the first question on M&A. Again, we are putting ourselves in motion to relaunch it, and we are going to do on a local basis. The bolt-ons are about local, identify local targets and consolidating where we're strong. And where we have synergies. And past bolt-ons have been proven very accretive in successful deals. So that's the first machine we will launch, and we have a road map. And when it comes to the restructuring, we have also a road map. So we know where to target, where are the costs that we need to cut. So let us execute, we communicate now on a quarterly basis, and we'll do delivery, change, communication, delivery, communication, delivery, communication.
Unidentified Analyst: Michael [indiscernible], Vontobel. Two questions. If you could make a few comments on your capital allocation priorities for the group and even some thoughts on targets in terms of value generation, return on invested capital for those different businesses. And the second question would be, you mentioned the organizational structure shifting to a regional management approach. You're considering then also to align the reporting structure to that regional management organization? Or will you stick to the current reporting by business?
Geraldine Picaud: Look, in terms of capital allocation, we want to finance our growth. So priority is given to growth and the expansion that we have mentioned in North America, the bolt-on program, so it's about growth. On your second point, the reporting structure, we don't aim to change it for now.
Carl Raynsford: Carl Raynsford from Berenberg. Probably a question for -- one question for each of you, really. But firstly, on the digital lab program, could you give us some color on what that actually achieved on a margin basis? I mean there was a lot of excitement at the time, but where margins are now? I'm not quite sure what's happened there. And the second question on the margin improvement. So 1.5% on top of the adjusted margin. I mean if our math is correct, that's basically achieved with CHF 100 million of cost savings. So it gets to about 16.2%, and that's pretty much in line with 2019. So that's quite far below where expectations were not very long ago, which were kind of in the high 16s. So my question is, do you think you can go further than that? Or is this mix effect basically a permanent drag?
Geraldine Picaud: I think we have put -- if I may start with your last question, we've put at least. I think this is important to words. But we want to deliver as well and rather overpromise than the opposite.
Frankie Ng: So for the digital lab, we're producing with the deployment. As I said, there's 2 factors in there. One is indeed efficiency gain. So we are working on across this opportunity. Each product lab [indiscernible] the new LIMS system has some efficiency gains. So obviously, we're not disclosing product laboratories. But we also need to -- at the initial stage of any implementation is always the cost versus the benefit that is going to be optimized as the labs move to 100% of the revenue and the process become more mature. So where we are in this phase of the processes, I said we're only 30% of revenue. The next target is 2025. We will migrate to 70% of revenue. And we're obviously on acceleration of the efficiency gain that we're seeing. These new LIM system is also a question about being able to optimize their network and not having each one of the lab working as a single entity. Allow us to communicate better across the network, so that we can start to do more hub and spoke and allocation of samples across different laboratories. So you probably see over time which organization or the way we see laboratories as network laboratories versus industrial laboratories. So this is also part of the -- the third part is about data structure. So this is also an important aspect of the evolution of the processes for the future.
Unidentified Analyst: Tobias, UBS. My question is going a bit in the direction of the colleague because if you look at your target of the margin, there is no further -- it's just coming from the costs at the end, which you are taking out. There's no further improvement from the lab digitalization or from what we have learned also before that there is more growth and there should be operating leverage coming through. So a little bit how should we connect it? Is it just a conservative guidance? Or is part of this CHF 100 million, maybe not completely visible because you need to do some other investments maybe in some other regions like North America to expand the network?
Geraldine Picaud: For sure to get to our target margin in 2027, there is a cost restructuring. There is a portfolio adjustment we're working on and there's several and there's more efficiencies and so on. So there are several things to get to a higher -- this is why we've put at least 1.5 points. And we're working on this, and we will present that to you at the Capital Market Day in November.
Tom Burlton: Tom Burlton here from BNP Paribas. Just a follow-up question on pricing, if I can. Just to check, I caught you correctly, Geraldine, when you talked about that you should be passing through all of your cost inflation in price. That's a different and sort of a firmer message than we hear from elsewhere in the industry sometimes where companies are passing through any proportion of their cost inflation. Are you able to reflect on sort of what you've seen so far where you think maybe what went wrong in the past in terms of pricing? Was there an absence of accountability, a lack of preparedness. Why should pricing be better going forward than maybe we saw over the last couple of years? And then tying that back to the margin bridge, if we're passing through most of the cost inflation, if lab utilization is ramping up and there is operating leverage in this business, it feels like one could be a lot more ambitious with kind of where we're thinking about that longer-term margin. I appreciate you've said the midterm target is just at minimum, but just maybe expand on that, please.
Geraldine Picaud: Yes. I think the accountability that you mentioned is going to help effectively to drive profitability, growth and cash generation for sure. That's the objective of this organization, which is to give really people their P&L and more accountability on the performance. So that will definitely help. Now you have to realize there is also sometimes some contracts that are signed for 2 years or for a certain period, and then the price is there. And this sometimes that impair the -- that ability to completely cover in certain business lines. But the -- I mean, the focus should be on passing on inflation to the customer with the pricing. And the pricing excellence, we will develop that and reinforce it to help our P&L leaders to succeed.
Pablo Cuadrado: It's Pablo Cuadrado from Kepler. Two questions. The first, maybe is more for Frankie. I think in the Capital Market Day we had in Turkey. There was a very interesting presentation on deglobalization risk in the industry, et cetera. And my take at least at that moment was that SGS were not expecting to see a major trend there and still APAC in terms of consumption, it was very relevant. So I was a little bit surprised now that in the, let's say, the new levels of growth for the next few years, we are talking about onshoring because it changed a little bit the spectrum in my point of view of what it was said 2 years ago. So what has changed you think, basically because that was the end of 2022. So the war in Ukraine, geopolitical risks were already there. So have you seen really in the market a movement that is implying that there is much more insuring that you were expecting in the past? And the second question will be just sustainabilities, one of the other drivers for the next few years. I was wondering whether if you can update us the level of revenues at the end of last year linked to sustainability. I think in the past, you were putting a target there. And if any, I mean, if you can also share how do you see the revenues, let's say, going through the end of this plan in 2027, if that's possible.
Frankie Ng: Sure. Maybe I'll start with the first question. In fact, the target hasn't changed compared to what we said in Turkey. We talk about vehicle resistance, the migration of the supply chains across many from the Asian production base toward some other jurisdictions, whether it is China toward Vietnam, toward Bangladesh, India and so on or that there are some more proximity strategy in Mexico for the U.S. and so on. This is continuing. So we see these evolutions, and we mentioned that we have gained market share in the Middle East. In fact, for us, Eastern Europe, Middle East. Turkey is one specific example of this evolution. So we see share increase were there because the markets continue to evolve. This is the shift in supply chain. At the same time, on the top of that, we're also seeing an evolution of some of the domestic market. So there are additional regulative framework in China, in Korea for the food sector as well. So we're also trying to create a strategy that allows us to capitalize on both aspects. So one is not simply replacing the others, I would say. Each one is just an addition of the others because the 2 will go in parallel. So we're just trying to adopt our network to the market conditions. And the strength of the global footprint is this, is where they built having the agilities to adapt to different geographic -- geopolitical evolutions, where suppression moves. Whether we can capture some of the international supply chain migrations and can we capture some of the domestic evolution of the market and this is the strength of the network that we are trying to build.
Geraldine Picaud: Yes. You mentioned this sustainability-related revenue that was communicated in the past, which was consisting of identifying out of our sales the one that can relate the most with some sustainability development goals. We still have that, and we're still performing on it. But I don't wish we report on that because I think at the end, what is most of interest for all of us is the incremental revenue that we are going to generate out of pure sustainably services such as the one that was mentioned by your colleagues on certification with CSRD, certification with CBAM, all these new offering, which is how well we are positioned to capture this growth is what is of interest. But don't worry, we are doing a lot in compliance with the sustainability development goals.
Suhasini Varanasi: Suhasini from Goldman Sachs again. Just one follow-up question, please. As you implement scrip dividends, I just wanted to check what your plans are to limit EPS dilution because I can see you have revenue targets for the medium-term EBITDA targets, margin targets for the medium term. But do you also think about EPS growth and any color there?
Geraldine Picaud: Absolutely. Look, if we do -- we've done simulation, there is a 50% take up half shares, half cash. The dilution will be really minimum around 2%.
Unidentified Analyst: I thought I'd ask a follow-up on the slide that you have about industry growth so 4% to 5%, if I take the weightings that you have in your business, 1/3 Asia, another 10% or so in emerging markets and then you have Europe and North America. Is 4% to 5% really ahead of nominal GDP growth, something that comes up in terms of the industry and the maturity level of the industry. So I wondered if you could just comment about where that sort of penetration gain is coming from or if that is really ahead of the nominal GDP in those markets?
Geraldine Picaud: No, it's about the -- it's commonly assessed that the TIC industry grows 2 percentage point about global GDP, and it's 2%. So that's why we get to the 4% to 5% of the TIC industry growth, which is commonly shared with all market players. And look, we are the leader. So we want to overperform the market growth. And that's what all the plan is about.
Frankie Ng: Yes. I think this is the average of the whole market. Geraldine mentioned several times. It is a fragmented market, which touches a lot of industries, a lot of geographies. And certainly, our chosen market, our chosen geographies, has an incidence on how fast can we grow because there are different growth drivers and different speed of growth per industrial sectors, per geographies and this is part of the mix that we need to work on.
Arthur Truslove: Just a follow-up from me. Arthur from Citi again. I don't think you've sort of said it so far. But how are you expecting CapEx to sales to evolve? I guess, historically, it's been sort of 4.5%, 5%. And I just wondered how you're expecting that to change as we look forward?
Geraldine Picaud: Well, we'll continue to be focused more and more is on the payback of all our CapEx. But at this stage, I -- let's say, it's going to be around the level of 4%, yes, at this stage. Maybe the last question, I'll, because...
Unidentified Analyst: So just one from -- [indiscernible] BHF. You are asking for the support of your shareholder by proposing a scrip dividend this year, if I understand. Is -- and you are going to develop your M&A strategy through bolt-on, if I understand. Is there a maximum leverage that you have in mind that you don't want to reach or stay below or that would trigger another scrip dividend option for the coming years?
Geraldine Picaud: I said we want to keep strong credit metrics. We have an excellent credit rating with Moody's, and we really value this because, again, it gives us flexibility for the future to do potentially a move -- a bolder move than bolt-ons. So that's key to us. And look, we are where we are. We do a scrip this year, and we will, as I said, value the remuneration to our shareholders, always.
Ariel Bauer: So thank you, everyone, for joining our event. I want to remind you that our next touch point will now be our Q1 sales since SGS reports quarterly on the 26th of April 2024. As you leave the room, please follow the hostesses and looking forward to seeing you all very soon. Thank you.